Operator: Ladies and gentlemen, good afternoon, and thank you for standing by. Welcome to the Penske Automotive Group Third Quarter 2013 Earnings Conference Call. Today's call is being recorded and will be available for replay approximately 1 hour after completion through November 7, 2013, on the company's website under the Investor Relations tab at www.penskeautomotive.com. I will now introduce Mr. Tony Pordon, the company's Executive Vice President of Investor Relations and Corporate Development. Please go ahead, sir.
Anthony R. Pordon: Thank you, Tom. Good afternoon, everyone. A press release detailing Penske Automotive Group's third quarter 2013 results was issued this morning and is posted on our website, along with the presentation designed to assist you in understanding our financial results. Joining me for today's call are Roger Penske, our Chairman; Dave Jones, our Chief Financial Officer; and J.D. Carlson, our Controller. On this call today, we will be discussing certain non-GAAP financial measures, such as adjusted income from continuing operations; EBITDA, earnings before interest tax, depreciation and amortization; and adjusted EBITDA. We have reconciled these items to the most directly comparable GAAP measures in this morning's press release, which is again available on our website. Also we may make forward-looking statements on the call today. Our actual results may vary because of risks and uncertainties outlined in today's press release, which may cause the actual results to differ materially from expectations. Additional discussion and factors that could cause results to differ materially are contained in our public SEC filings, including our Form 10-K. I will now turn the call over to Roger Penske.
Roger S. Penske: Thank you, Tony. Good afternoon, everyone, and thank you for joining us today. I'm pleased to report that our business produced another outstanding quarter. Today we announced the highest third quarter and 9 months income from continuing operations and earnings per share in the history of our company. Record third quarter income from continuing operations was $66 million and related earnings per share was $0.73. The record results were driven by a 13.5% increase in total retail unit sales and a 14.6% increase in total revenue to $3.8 billion. We also leveraged our general and administrative selling expenses as a percent of gross profit by 150 basis points, improved operating margin income by 25.3% and improved operating margin by 30 basis points. As a result, income from continuing operations increased 21%. Related earnings per share increased 22% when compared to the adjusted figures for the same period last year, which excludes the debt redemption cost associated with the refinancing of our 7.75% senior subordinated debt. Based on our strong results, our PAG Board of Directors increased the third quarter dividend by 6.3% to $0.17 per share, which now has a yield of 1.8% and a payout of approximately 25%. Let's now turn to the specifics of our third quarter. Total retail unit sales increased 13.5% to 97,000 share -- units, and total revenues increased 14.6% to $3.8 billion. On a same-store basis, retail revenue increased 12%, including 11.3% in the U.S. and 13.3% internationally. Foreign exchange rates negatively affected same-store revenue growth by 70 basis points or approximately $20 million. Excluding the effect of foreign exchange, same-store retail revenue increased 12.7%, including 15.1% in our international markets. Our total revenue mix during Q3, U.S. represented 63% and our international business, 37%. Breaking it down, Premium/Luxury was 68%, volume foreign 28% and the Big Three 4%. Looking at new vehicles, we outperformed both the U.S. and the U.K. markets during the quarter. New units retail increase 13.4% to 53,500 units, representing a growth of 11.6% in the U.S., an 18.2% increase internationally. Our Premium/Luxury was up 14.9%; volume foreign, up 12.2%; the Big Three, up 14.4% for a total of 13.4%. Total same-store new units retail increased 12.1%. U.S. was up 8.9%, and international was up 20.3%. Total new vehicle revenue increased 15% to $2 billion. Average vehicles selling prices on new improved 1.3%, while new vehicle gross profit per unit was $2,791. I look back and compared this to the third quarter in 2008 when we were $2,802, just $11 less roughly. Our margin was 7.5% compared to 7.7% last year in the same quarter. Supply of new vehicles was at 52 days at the end of September compared to 50 days last year. Looking at our used vehicle business. We retailed 43,500 units in the quarter, representing an increase of 13.7%. Our Premium/Luxury used was up 9.8%, our volume foreign was up 18.8%, the Big Three was up 11.9%, for a total, again, of 13.7%. Our used to new ratio was 0.81:1, which was flat with last year. Total same-store used units retail increased 11.8%. We're up 13.3% in the U.S, and we're up 8.8% internationally. Total used vehicle revenue increased 13.3% to $1.1 billion. Used vehicle average transaction prices declined 0.3%, while used vehicle gross profit per unit was $1,870, and our gross margin increased 10 basis points to 7.4%. Our supply used vehicles was 42 days at the end of September compared to 38 days last year. I'm pleased to report that we're making good progress on our initiative to improve finance and insurance revenue. During the quarter, revenue increased 19.3%, including a 17.4% increase on a same-store basis. F&I improved $49 per unit to $1,028. If you look at it in the U.S., it was $997 per unit and internationally, $1,098. In the third quarter, 67% of our F&I revenue was generated in the U.S. and 33% was generated in our international markets. Service and parts for the quarter was solid with revenue increasing 4.4%, including a 3.4% on a same-store basis. Our U.S. Parts and Service business was up 6%. We were down 2.6% internationally. Customer pay was up 4% in the U.S., warranty up 12.8%, body shops up 3.9% and predelivery inspection of 10.3% for 6%. When you look at the international business, our warranty labor was down 2% and warranty parts margin sales were down 14%. On the other hand, our gross margin increased 230 basis points to 60.1% and our international Parts and Service gross profit grew from 58% to 62%. In total, overall gross profit increased 15.6% to $580 million, and our gross margin improved 20 basis points to 15.2%. For the quarter, we generated 150 basis point improvement in SG&A gross profit to 78.3%. Our SG&A flow-through was 31%. SG&A concludes approximately $1.9 million of a cost associated with our acquisition of the Commercial Vehicle Group in Australia. Excluding these costs, SG&A leverage would've improved by 180 basis points and our flow-through would've been approximately 34 million -- 34%. Operating margin improved 30 basis points to 2.9%. Effective tax rate for the quarter was 32% compared to 27% in the same period last year. The higher tax rate in the third quarter of '13 is due in large part to a higher mix of U.S. income when you compare that to last year, which is taxed at higher rates, and a $2 million benefit from the reduction of deferred tax liabilities in the U.K. in the third quarter last year. We expect our tax rate to be approximately 36% in Q4 and 34% for the full year 2013. For the quarter, EBITDA improved 25.7% to $126.1 million when compared to adjusted EBITDA in the same period last year. Looking at the balance sheet at the end of September, total non-vehicle debt was $1.1 billion, up $123 million from the end of last year, largely due to the Commercial Vehicle Group acquisition we completed in August of this year. Our total debt to capitalization ratio was 42%, and our debt leverage was 2.2x EBITDA. Excluding approximately $97 million in rental vehicle line of credit, total non-vehicle debt would've been approximately $964 million, and the debt to total capitalization ratio would have been approximately 40%. The end of September, we had total liquidity of approximately $450 million. Our vehicle inventory was $2.2 billion, and in comparison to December of 2012, it was up $163 million, and used was up $102 million. Approximately $98 million of the increase is related to our acquisition of the Commercial Vehicle business in Australia. And on a same-store basis, vehicle inventory increased $159 million compared to the end of December last year. New is up $63 million; used, up $96 million. Capital expenditures for corporate ID [ph] facilities were $101 million for the first 9 months. We estimate that total CapEx for these initiatives to be approximately $130 million for 2013. Additionally we spent $22 million for real estate, land and land purchases during the first 9 months and $82 million on the procurement of rental vehicles. Turning to our U.K. business, our business produced another very strong quarter highlighted by a 16.6% in total retail units. The overall U.K. market was strong, too, as registrations in Q3 up 12.1%. Same-store retail revenue growth improved 14% during the quarter. The September registration period marked the 19th consecutive month of growth in new car registrations. In fact, the month of September was the first time in over 5 years where the market registered more than 400,000 vehicles. The overall U.K. new vehicle market is up 10% year-to-date with registrations increasing across the private, fleet and business market segments. Let's turn to our Commercial Vehicle business. We completed the acquisition in the end of August. We believe this is a tremendous opportunity for our company to grow the revenue and profitability while further diversifying our overall business. For the month of September, the Commercial Vehicle business generated approximately $49 million in revenue and had a gross margin of 14.3%. Before I close, I wanted to highlight our continued strategy to consolidate and streamline our marketing efforts across the company. Most recently, we've completed the consolidation of our CRM system and the execution of new digital campaign templates to improve engagement, our efficiency and the effectiveness of our marketing campaign. We also rolled out a new centralized marketing resource center, which provided additional tools to our dealerships and marketing support. We also assessed our marketing spend, resulting in vendor consolidation, the elimination of a number of ad agencies. As I mentioned, this was in process last quarter. We now have completed a refresh of our individual dealer and mobile websites to provide for enhanced vehicle display, quicker inventory access and our call-to-action attributes. We have seen our traffic improve by more than 30% while providing customers a consistent experience from smartphones or tablets or any other device they may use. We're now in the final stages of new website designs for our Collision Centers and our large area hub sites. We continue to focus on reputational management through various rating sites, an important part of our continuous improvement to enhance our customer service. In closing, I'm very pleased with our performance in the third quarter, and I believe our results continue to demonstrate the strength, the diversity and the resilience of our PAG business model. We continue to expect the U.S. and U.K. automotive markets to perform well and remain confident in our ability to continue to grow our business. Our cash flow is solid. Our balance sheet remains healthy. And we're poised to grow the business on an opportunistic basis. Thanks, again, for joining us today and your continued confidence in our business. At this time, I'd like to open it up for questions.
Operator: [Operator Instructions] Our first question today comes from the line of James Albertine with Stifel, Nicolaus.
James J. Albertine - Stifel, Nicolaus & Co., Inc., Research Division: I wanted to ask you first, if I could, just in terms of your capital allocation strategy. Obviously you've consistently delivered relatively significant returns via your dividend, but I wanted to maybe get an update on what you're seeing in the acquisition landscape perhaps, first, in the U.S. and the U.K., specifically and then separately as a followup, sort of the stepping stone acquisition in Australia. How did that play out over time in your view?
Roger S. Penske: Well, number one, when you look at capital allocation, we have a commitment to the OEMs for our CI requirements, and we'll spend $130 million as I mentioned here earlier. And acquisitions then become a key part of our -- of ongoing strategy. Our dividend, obviously, today, we increased payout 1.8%. Then we have our stock buybacks and, obviously, debt. But when you look at specifically, acquisitions, which will help us grow the business, we see the market vibrant. The good news, we have the opportunity to look both internationally and domestically. And one of the things that I think everyone has to realize that when you look at the U.S., that the top dealer groups really own less than 10% of the market. So to me, there's many opportunities here. And we certainly see that as a byproduct of some of the acquisitions that we made or things we have in the pipeline. When you look at our business, and you include international, we've got about $600 million of annualized revenue that we have executed on here in the short term. We've got another couple of hundred million under contract, Toyota and Hyundai location in Texas. Then our open points, we expect to generate about $200 million. When we look at that. I would say that probably other than you take out the big piece, which is $400 million, which was the Commercial Vehicle business, it's probably split 50/50 between international and domestic. So we feel good about the pipeline. Obviously as we move into Western Europe, we see prices considerably less from a goodwill perspective than we see here in the U.S., and that's driving some interest. We've now executed in Italy. We'll start to report that next quarter, and then we have opportunities in some of those Western countries there, which give us some more strength. And we're really partnering with our OEMs during that time. We also just closed yesterday on a Land Rover business in Annapolis, Maryland, which helps us grow in that D.C. market, which we think will be quite profitable for the future. And that will generate about $40 million in revenue. So overall, acquisition pipeline is strong. As we look at our business going forward, we think that 5% to 6% of our revenue increase in the future will come from acquisitions.
Operator: Our next question comes from the line of John Murphy with Bank of America Merrill Lynch.
John Murphy - BofA Merrill Lynch, Research Division: First off all on Parts and Service from 3 specific angles. I mean, first, we know what your take is on where we are in the growth of units and operation in the 0-to-5-year-old segment. Second, they will feed your -- hopefully, feed your Parts and Service base, where we are in that recovery. Second, what your capacity utilization is in your service bays? And third, as potentially this all comes through eventually, are there a lot of SG&A dollars tied to growth in Parts and Service? Or is there more flow-through than we've seen in the other businesses?
Roger S. Penske: Well, let's talk about, first, if you take out 2013 and you look at customer pay, we did some homework on this, about 50% of our ROs are in that timeframe from '07 through '12. If you look on the warranty side, it's a little bit higher. It's about 65%. So when you look at it on a combined basis, I would say we're probably in the 60-plus percent range. So we've got some good traction, some good opportunities as we go forward as we start to see some of the cars we sold here in '13 and '14 going forward coming into our shops. When you look at capacity, we're sitting today at about 70%, and I think that's without really looking at, in some cases, second shifts. Where we have less capacity available, we move on [ph] to a second shift at night, where we're doing predelivery inspection on new cars and reconditioning on used cars. It's paid off well and giving us more efficiency. From the standpoint of cost, obviously, if you're thinking about adding service capacity itself from a bricks-and-mortar standpoint, it gets expensive, but I think that in our case, that we would utilize a multiple-shift capability to get a better process and keep our costs down. So with a margin today of 60%, you'd have to say every dollar invested in Parts and Service, at least additional, would provide us more bottom line.
John Murphy - BofA Merrill Lynch, Research Division: And second question, as we think about the consumer and consumer confidence, obviously, in general, it's not that great right now, but you have such a -- sort of a refocus [ph] on the luxury business. Just curious what you think how your consumers are acting. What you're seeing in showroom traffic and the like because it seems like you might be better positioned than the mass-market dealer given sort of the uncertainty in the general economy and consumer confidence right now. I'm just trying to understand what you're seeing in your consumer and showroom traffic right now.
Roger S. Penske: Well, let me go back and reset everything in August. We had a turbocharged August with the extra weekend. September ended up strong, obviously, with a registration month in the U.K. We had a little pause at the beginning of October. But when I looked at the numbers of sales through the last 24 hours, our New Car business was up 5%, and our Used was up 16%. That's here in the U.S. So to me, we've seen an acceleration back here at the end of the month. We're in the Premium/Luxury side. The volume foreign's only 28% when you look at us internationally and domestically, so overall, that customer is there. I think leasing is driving a lot of loyalty there because of the pull-aheads by the manufacturers. And there's no question, when you we look at our portfolio, and if you took probably Lexus, Mercedes, Audi and BMW, almost 50% of their business is leasing. So we have that opportunity to get those vehicles coming off lease, and we're seeing more of those coming off now, which is helping us on the renewal side, driving our sales. So I see credit being strong. We don't have an issue. We really work with our captives primarily. We have a few of our preferred lenders. CPO growth continues to be strong because of the warranty that's offered on CPO vehicles. And we've had, obviously, a very strong Used Car business because we're looking at retail first. So when you combine both New and Used, and you look at the numbers, just as I looked at the numbers in the last 24 hours, we see upside on New, and we certainly upside on the Used Cars.
John Murphy - BofA Merrill Lynch, Research Division: Just lastly on the equity income line was much stronger than we had expected. I just wondered if you could give us some color on what's going on with PTL and the other affiliates that are in that line.
Roger S. Penske: We were up almost $2.5 million on the equity line, and half of that came from truck leasing. Our lease revenue's up about 4%. We're seeing rental up very strong double-digit on the leasing side and the rental side. And also, our gain on sale is strong. Again some of the same attributes in the Truck business. Where we've got older trucks, people are now going and buying some of our used trucks that are coming out, which are in great shape. So we see that being strong. And I think the third quarter for us because of the one-way rentals, this is rent it here, leave it there, is always the strongest in the third quarter, so that has driven some of the profitability. Also our joint venture partners in Western Europe are starting to see some traction now, which has given us more profitability. So overall, we feel good about those.
Operator: Our next question today comes from the line of Rick Nelson, representing Stephens Inc.
N. Richard Nelson - Stephens Inc., Research Division: It looks like you were able to avoid some of the margin pressures that we've seen coming from of the other dealer groups on the new car side, actually used as well. If you could comment on what you think is making you different on that line item.
Roger S. Penske: Well, I think number one, I think focus by our team is key. The fact that our Premium/Luxury, obviously, is a key part of our business, and when you look at Premium/Luxury, we actually get an 8% margin, and when it blends through, we're down, really, at 7.5%. So I think it's mix. I think it's leasing, which gives us an opportunity to get a little more margin, where we do a leased product. And the good news is these are -- with the pull-aheads, there's some incentive to the customer base. So I feel that's probably driving our New Car margin. And, certainly, we always say feel pressure in some of the areas in the -- internationally, where they give us higher targets, but I would say overall, the guys have managed that quite well. On the Used Car side, we've really had good luck. We've been up across the luxury, the volume foreign, and the domestic and giving us a nice increase, 10 basis points. So margin and CSI are the 2 things, I guess, they're my first words out of my mouth everyday when I'm talking to the team. And I think they've responded well, but you've got to continually manage it. I went back, I think I mentioned in my recent remarks that if we go back to the third quarter of 2008, you really -- there's really no -- very little difference: $2,802 per unit, and it's $2,791. In fact third, quarter of '09, if you go back, it's actually $2,721. So we've held that margin, had a little bit of support and help when Toyota and Honda had short supply. I think, we had a holiday there with all of us getting the benefit of those grosses. They've come down more normally. And on the Used side, we're within $100 of where we were back in the third quarter of '08. And today, we're selling more lower-priced used cars. So obviously, holding this margin we think has been a good job by our people. So overall, I think it's focus. Number two, I think the mix of our business is key. And the other thing that's turning out to be a benefit to us is -- now, is we're starting to get the rental cars coming off of rent out of our 2 major locations, Tennessee and Indiana. That's providing us with some good used cars, which had been inspected properly for resale, so that gives us a chance. We get the benefit of the captive finance companies' rates -- current rates, and in many cases, the extended warranty. So, overall, it's -- I think those are the key things that are driving it.
N. Richard Nelson - Stephens Inc., Research Division: Okay. And I think that explains the acceleration in used comps. The last couple of quarters you're getting more supply, and that's helping drive the topline?
Roger S. Penske: I think it's retail first. Some of our peers are going into individual used car locations and things like that. What we have tried to do is utilize the infrastructure we already have, and the goal -- there's a metric, how many wholesale to retail that you have. And we're trying to keep that down to around 20%. So with the Internet, we've got such an opportunity and such a wider base of customers to utilize the Internet. We think that's driving some of our retail first and penskecars.com has been a real good asset to us. We got the Autotrader reviews to virtual showrooms. And, certainly, I've talked about some of the marketing initiatives. We're just doing a much better job. If you go online with us, I think you'll find in some cases, up to 60 pictures. So the more we can generate focus on an individual vehicle, I think that's key. I think we're driving it through the management process. We had first success in the central area with [indiscernible]. And I think, certainly, the East and the West have jumped on it. We're also -- we're 1-to-1 in the U.K. or internationally. But I still think there's some opportunity there for more retail. So we see it as a key part of our business. If you look at the business that CarMax has made out of the used car business, we'd be foolish not to take advantage as we combine that with our New Car.
Operator: And we have a question from the line of Brett Hoselton, representing KeyBanc.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: I was hoping you could spend a little bit more time talking about your Parts and Service business, particularly in the U.K., and how should we think about that on a go-forward basis? I mean, John was alluding earlier to the idea that more new vehicles being sold should result in some improvement in your revenue growth in the Parts and Service side. Obviously you've had some disruptions here in the international operations. I'm wondering what happened? And then how do you think about that business going forward? Is that a mid-single digit grower? Or do you think it could be faster or slower than that.
Roger S. Penske: Well, let's put it in perspective. When you look at overall revenue and margin, the U.K. market, overall, is 2 million vehicles. We're 15.5 million here, so it's 7x larger. 98-plus percent of our business is Premium/Luxury. They have 25% of the market. So it's 200 and -- or 500,000 vehicles, so when you add that up, the movement on total units and operation is not going to move as fast as it will here because of the programs. And I think we don't have the full-circle programs in the U.K. We're in BMW here today and ToyotaCare, where the manufacturer pays the consumer to come back in the shops. We don't have that. You have to sell an extended warranty over in the U.K. to do that. Overall our hours are up. I think the key thing we have there was the increase in our Used business. And the New business has driven our PDI. And our internal, up about 26% in the quarter. And when you look at the overall margin, it went from 58% to 62%. And the overall gross profit in total went up 2.6%. So to me, it's a mix to a certain extent. And we don't have -- from the standpoint of warranty and this, what I would say opportunity to move the customer back into the dealerships because of extended warranties that are given by the manufacturers. We've got to strive further to go out and get that customer that might have dropped off after the warranty is over. And those are the some of the initiatives that we're doing. But when we look at the business, I think that we'll continue to grow that on the topline. One other thing we've done, we've looked, and in our Parts and Service business, you have wholesale -- these are trade parts, they call it overseas and some of that business, which was not producing the margins, which we're driven from margins, as you know. We walked away from some of that business, so that's driven some of that. So I don't think there's anything to be concerned about. Obviously we want to grow it, but when I look at the peers in the U.S., we're right in line at a 6% growth. But again, overall, I think we can do better. There's no question about it, but our PDIs up. Our internal is up. Body shop is up slightly. And our warranty, really, is driving that decrease in warranty. And some of that has to do with the manufacturers not offering quite the warranty we see here. Also on parts, when you look at warranty in the U.K. we get paid on some parts 0 markup, and on our typical warranty, we would get 10%, or here in the U.S., we get 33%. So to me, we're on it, but that would explain some of the differences.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: And then as we think about SG&A leverage, gross profit throughput and so forth, how do you think about that in terms of your own internal targets as you move into maybe the next year or the following year. In other words, some of your peers will talk about a 30% or 40% or 50% throughput rate, and their expectation that they might be able to achieve that on a consistent basis and so forth. How are you thinking about that near business? And how does the acquisition in Australia potentially impact that as that comps out over the next few quarters?
Roger S. Penske: Let me say, I think flow-through is going to be 35% to 40% in our current mode. And we really need to get a quarter under our belt to see how the flow-through would be and the margin. If you look in our financials on the last page, I think, of the press release, you look at our business, the Car Rental and Commercial Vehicle are really mixed but the margin on Car Rental was 36.7% and the SG&A to gross was 80%. Obviously, we have more people due to the counter reps and running our local editions and also the license fees that we pay to Hertz. On the commercial vehicle side, we were at 14.3% for the month. The car rental was for the quarter, and we had a 60% SG&A to gross, so quite positive. I think, overall, that rounded out to about 72%. The only problem is it's only 1 month of Commercial Vehicle in the quarter. We probably look at the blended rate for these 2 businesses, and we've broken them out to be in the 15% to 16% place from the standpoint of looking at it for a future model. I think as we look at the Commercial Vehicle business, there was some of the transitional services initially that were being provided by the seller. Those will roll off, and we really need the fourth quarter to establish exact SG&A metrics, I think, as we go forward. Then we should be in pretty good shape. But we feel good about the flow-through. It's a distribution business. We don't have -- it's not heavy asset-based from the standpoint of distribution. I was in the inventory that we're turning with the dealers. We have 2 dealerships of our own: 1 in New Zealand and 1 in Australia. The balance is a pure distribution model, where we order the truck for the dealer, we hedge the currency both if its German -- coming out of Munich for MAN, or it would be, obviously, out of the U.S. from Western Star in Portland. So I think we got a good model there. And, certainly, from a CapEx perspective or capital perspective, as we grow the Rental business, we got to own those cars, and we turn those in on a basis of probably 12 to 14 months.
Operator: Our next question today comes from the line of Simeon Gutman, representing Credit Suisse.
Simeon Gutman - Crédit Suisse AG, Research Division: Just first big picture question because you have multiple businesses and multiple geographies at this point. And I know you don't really give forward guidance, but in terms of the U.S., International, there's Fleet, you have Rental, Commercial, and you PTL. How should we think about -- and we understand the relative contribution to growth in terms of size, but how do you think about growth from each business? Which of them should be a faster-growing business over the next 12 months. Any color on that?
Roger S. Penske: Let's just take the U.S. We see a SAAR -- estimated SAAR of $15.5 million, and from our perspective, we see upside there. The good news is the brands that we represent, the volume foreign and the, certainly, when you look at Premium/Luxury, they continue to add models. And I think they're going to have market share. There's no question when we look at our International business, and let's talk about the U.K. and Western Europe. When I look at those, I think it's quite good when you see the increase in the U.K, and also what we're seeing in Germany and Italy right now is its slow growth. So those will only get better. From a rental standpoint, we're going to continue to grow our Rental business. We have the opportunity to take over Cleveland market, some time in the first quarter of next year, which -- or maybe the second quarter, that will be another opportunity. It's given us a couple year -- another 12 months to understand the business completely, but that will add another 3,000 or 4,000 vehicles to our fleet. From a PTL perspective, we've seen that business continue to grow. There was some slowdown, probably, in the last 24 months, people not wanting to lease because they were losing -- the market was softening, and they were losing business, but we've seen that turnaround, and we've seen probably a 3% to 4% to 5% increased topline on leasing and contract maintenance. Rental has been off the charts, really running at 80% to 85% utilization because people today would rather rent and pay a higher rate than then commit to a 4- or 5-year lease. Now we're seeing some of those people now saying, "I want to pay the extra, let me go to leasing." The Used Truck values continued to be strong. We don't have the number of trucks to sell, obviously, as we go into the next 12 to 24 months. But we see good traction in our logistics business. We've picked up some good logistics business over the last period, which we'll start to see in our revenues. So from that perspective, I feel very good. When you look at Australia, overall, I think it's a hunting ground for us. We've got a big business there, almost AUD 450 million. We have the opportunity there. We've got 2 of our best guys we sent out there: Randall Seymore and John DiSalvo. And working with a team out there, we've been contacted by a number of people on the retail auto side to grow. We can add some rental and leasing out there, so it's just a matter of getting our feet on the ground and then starting to execute. So when you look at it, and you take look at our business, we're not just domestic. I think we have a big platform. Certainly when you look at Europe and what's going on there, the U.K. has really stayed out of the doldrums over many months. So we certainly are looking as we go into 2014 quite positively. I think the Used Car opportunity will continue to be good for us here domestically as we gain the off rental cars that come up for sale, so all we have to do is focus and execute here. It's a long answer to your question. I'm sorry.
Simeon Gutman - Crédit Suisse AG, Research Division: It's helpful. And following up to part of it, on the Rental side, I think the parent company to the namesake brand saw some issues maybe having too much fleet or saw demand a little weak. How aggressively are you managing that business? Or first, did you have a similar experience, and how aggressively are you managing it? And you're able to unload -- if you have excess inventory directly to your stores, and how effective are you with doing that so far?
Roger S. Penske: Well, our model is -- we're a much, much smaller entity being a licensee and being in a couple of major markets. And we have -- probably have the ability to de-fleet faster because of the roughly 170 franchises we have around the country. And we have a site that we put our units up. This is an internal site that when they're ready to sell off these cars, we put them up, and we actually have the entire country looking at these. We have a special transportation logistics capability to move them into the markets where they want them, so it makes it a very good model for us. What we're trying to do is get the right RPU, And we think that ordering the cars even with more content gives us the benefit to get more on the backside. And all of our cars, I would say 95% of the vehicles that we have are risk cars, meaning we take the residual and only a few specialized vehicles would we have a factory buyback on, which is maybe a little bit different than maybe some of the rental car companies.
Simeon Gutman - Crédit Suisse AG, Research Division: And then last question, as you mentioned CRM. Can you talk about how it's being applied? And then is it an internal platform, or it's an external platform that we're using, and who's managing that it it's external?
Roger S. Penske: Well we have used a number of people over a period of time. And I think that at the end of the day, DealerSocket is the CRM system we're tying together. And then Reynolds and Reynolds, where we have our back plain is -- with Reynolds and Reynolds, we use as much as we can of their offerings to be consistent because we use rentals across our whole platform. And I think when you use the CRM, we see it benefiting, obviously, our ability to communicate with our customers on the service side, and then, obviously, on the sales side. And I think what it does is it's regimented the sales process in a much better way. We've even gone to a new model, and we're trying where we have product specialists. You heard about product genius, obviously, at Apple. There's a lot of interest in that in BMW. We're testing an opportunity where we take all the Internet leads and we bring them into a product specialist. When they come to the store, there's someone there that knows they're coming. They're dealt with, and we really have people who are probably, in many cases, we pay by the hour, not on a commission. So they're more interested in understanding the vehicle and providing a CSI experience, which is key. And most of our templates under our CRM are call-to-action. We have today, really, an inventory, a toolkit. If you're a particular OEM dealer, you can go into that toolkit and you have a number of tools that you can use, whether it's a service tool you need for communication, a sales tool, even an OEM contact capability. We have that available across the network, which simplifies it. As I said earlier, we've taken some of the ad agencies out, and we've really built an internal capability here, which is really proving to be quite successful.
Operator: And we'll go to the line of Brian Sponheimer with Gabelli & Co.
Brian Sponheimer - Gabelli & Company, Inc.: Most of my questions have been answered, but I guess, more in the near-term, as you're thinking about the fourth quarter this year in the U.S. With your Luxury brands. We've had a, I guess, an arms race between BMW and Mercedes the last few years. How are you thinking about potential impacts to your business from incentives on the luxury side as a benefit as we head into the last 3 months here.
Roger S. Penske: Well I think you just got to look at history. These manufacturers all have targets that they're trying to meet. Obviously there's competition between the brands, but we see, typically, that as we get into December, primarily, we see big spend in advertising and big support from an incentive standpoint where it's a pull-ahead in our cash on the hood for the consumers. We see that as an opportunity for us. And we would expect the same posture as we've seen in the past with the OEMs as we go into December.
David Whiston - Morningstar Inc., Research Division: On the revenue per vehicle, if you jump about a 1% improvement, you'll be just under $40,000 per vehicle in the fourth quarter. At what point do you think that this can potentially top out, where you might be constrained as far as your topline, given that they -- consumers' ability to either finance or purchase a $40,000 car on average?
Roger S. Penske: Well I think it all comes down to residual. I mean, because when you look at total transaction between lease and finance, it's probably 75% to 80%. And with that, the residual plays the game. And leasing is 24 to 36 months, but I don't see the price of the vehicle is important as what's the payment is. Now you've read in the Wall Street Journal here, I think, in the last 24 hours, where they've talked about how on the retail contract side that we're going out to 72 and 84 months. We see probably in our portfolio, somewhere on the retail side, probably, 61 to 62. And on the lease side, it's around 36, and some manufacturer's even going shorter at 27 months. So to me, that really camouflages the increase in price because it comes down to the payment, and is it a zero down or first and last. So I don't see that affecting us. We've been pretty much in that line for a number of years. And with the advent of -- and I think we've got to be careful here, with the advent of the CLA and some of the 1 series and Qs that are -- Q3, you've got a much lower cost of sale, which is going to drive that down on average, but you're still going to have the S class, the 7 series, really the A8 are all going to be Pan-American vehicles like that, which are going to be priced a little bit higher. When you look at the -- I think the average price when you look at -- in the U.S. is about $35,000. From our perspective, and I think in the U.K., it's higher at about $42,000. So there's some difference there. Seems in the U.S. market, the manufacturers are a little more competitive.
Operator: And our next question is from the line of Scott Stember with Sidoti & Company.
Scott L. Stember - Sidoti & Company, LLC: Maybe just big picture here with the U.S. and the U.K. talking about a $15.5 million start for this year here in the U.S. Without making any predictions for next year and when factoring in that we're just seeing the leading edge of cars coming off of lease right now, what are your general thoughts on where we go from here, the kind of growth that we could see here in the U.S.? And again, just maybe touch base on the U.K. afterwards.
Roger S. Penske: I think what we really have to do is we have to dissect this $15.5 million, and you got to find out how much of it is fleet because if the fleet all of a sudden accelerates for 1 reason or another, and it's really been less. The manufacturers have really, I think, had a good attitude about providing the hot cars to retail, but that's going to drive the SAAR in some way, which will be a benefit in some ways because we'll get more used cars coming out of some of the fleet operations. But I see this continuing to grow. I'm really looking at our volume foreign and Premium/Luxury. And what I see there is across-the-board, there's going to be approximately 175 new models coming out here over the next probably 12 to 18 months, which is going to continue to drive growth. And you got to go back and the fundamentals are, we have 11-year average life of the carpark that's in place. Our credit is still good, residuals are higher. So I'm not sure what else we need. It's a perfect storm and leasing is -- overall is 26%, if you just look at the total marketplace, so I think that there's no question that as we look at the market going forward, these will be the drivers for the business. And to me, I feel good about the future on the U.K. side. Look, Europe has been in a storm over there for several years now. U.K. has stayed out of the picture, but with the success we've seen in the U.K. as I said earlier, the registration was the 19th consecutive month of growth in new car registrations. And they had over 400,000 just in the month of September, and realizing that's a registration month, and that's the first time in 5 years. So along with Western Europe, and what we're seeing in Germany, and what we're seeing in Italy. And our first step there is quite positive for us. Again it might be the OEMs we're associated with. On the other hand, the investments from a goodwill perspective are significantly less. Now, you've got language and other things, which make it somewhat harder maybe to manage. But I think the team we have on the ground and the partners that we have in Europe are going to make it quite possible for us to continue to grow at a decent rate.
Scott L. Stember - Sidoti & Company, LLC: Great, that's good. And then the last question just on the SG&A side. I'm not sure if you mentioned this, but what are some of the levers that you've been successful in, in the last quarter or so in tapping? And where do you see additional opportunities on that front going forward?
Roger S. Penske: Well, I think one of the areas is in our marketing. I think the focus on digital has made a big difference. I think we've started to manage our loaner car expense much better. I think we were up in some cases, up to 10% of our gross profit in Service and Parts. And we've been able to take a look at that and drive that more effectively. We're taking our customers home in a van rather than letting them take a car and take it home and have it sit there and put 10 or 15 miles on it. There's a lot of things that we've done. And I think, overall, we are really managing our compensation to gross. Meaning, we have to maintain that as the elevator goes up on gross, the comp goes up because we're in a variable business. And when it comes down, the comp goes down. And I think in every case, I think our management team is really focused on that. Our people understand it. And I think that there's no question when you look at -- we had another $78 million of additional gross in Q3 versus last year. And I think that it's not just SG&A, it's driving -- it's driving the gross profit. So we're not going to cut our way into more EPS. What's going to happen is we're going to pull it on both sides, so I think it's focus. I said that earlier. And there's no question that the spend that we have in some of these areas has to be looked at. But as we grow the business, some of the core infrastructure expense, which you would call fixed has to be then blended over a larger base, whether it's domestic or internationally. And I think we're getting the benefit out of that today. When you think about going to Australia and buying a $450 million Australian Revenue business, and then we spent $1.9 million, that includes our people's travel, that includes our legal and all of the other aspects of it and audit. We used our people internally, which was a huge benefit to the process. The speed, 70 days from the day we got into the process. So those are things that I think will pay off on a long-term basis.
Operator: And Mr. Penske there are no further questions queued up at this time.
Roger S. Penske: All right. Thanks, Tom. We'll see you again. Thank you very much, everyone.